Operator: Good afternoon. My name is Chris and I will be your conference operator today. At this time, I would like to welcome everyone to GoDaddy Q4 earnings conference call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions]. Thank you. Sam Kemp, Vice President of Investor Relations and Strategy, you may begin your conference.
Sam Kemp: Good afternoon and thank you for joining us for GoDaddy's fourth quarter and full-year 2018 earnings call. With me today are Scott Wagner, Chief Executive Officer and Ray Winborne, Chief Financial Officer. Scott and Ray will share some prepared remarks and then we will open up the call for your questions. On today's call, we will be referencing both GAAP and non-GAAP financial results and operating metrics such as total bookings, unlevered free cash flow, net debt and ARPU. A discussion of why we use non-GAAP financial measures and reconciliations of our non-GAAP financial measures to their GAAP equivalents may be found in the presentation posted to our Investor Relations website at investors.godaddy.net or on our Form 8-K filed with the SEC with today's earnings release. Unless otherwise stated, when we refer to organic measures, we are referring to those measures excluding the impact of HEG and Main Street Hub. The matters we will be discussing today include forward-looking statements, which include those related to our future financial results, new product introductions and innovations or our ability to integrate recent acquisitions and achieve desired synergies, including our recent acquisition of Main Street Hub. These forward-looking statements are subject to risks and uncertainties that are discussed in detail in our documents filed with the SEC. Actual results may differ materially from statements that we make on this call and based on assumptions as of today February 20, 2019 and we undertake no obligation to update these statements as a result of new information or future events. With that, here's Scott.
Scott Wagner: Thanks Sam and thanks to everyone for joining us today to discuss our fourth quarter and full-year 2018 results. We finished 2018 on a strong note and not just on our financials, but also in the experiences and products, enabling our customers to make the world they want. GoDaddy is the best place to power an online presence and that shows up in our results. In 2018, we grew revenue 19%, drove 25% growth in our unlevered free cash flow and added over one million customers, all affirming the importance of GoDaddy to everyday entrepreneurs all around the globe. Today, we will spend time on three topics. First, the customer and product experience improvements we made in 2018 and where we are headed in 2019. Second, an update on our go-to-market engine and how we are taking the next steps in our brand to draw closer to the global community of everyday entrepreneurs. And finally Ray will cover our fourth quarter performance and outlook for 2019. In 2018, we put our shoulder into both our product and customer experience, which is a large unlock in our business as we expand the role GoDaddy plays in our customers lives. Each quarter you have heard us highlight GoCentral's expanding feature set and consistently improving metrics. If you zoom out, in 2017, we launched this product as a easy-to-use website building tool. In 2018, we took that strong foundation and integrated it across a dozen relevant third-party platforms and added a number of product functions that are seeing dramatic growth and usage. We have entered 2019 with a platform that enables everyday entrepreneurs to create robust websites and syndicate marketing across the social reputation and e-commerce landscape. If you haven't used GoCentral recently, I would really encourage you to give it a spin so you can see all that it does and how much more we are doing to help our customers succeed online. Combined with our award-winning care, GoCentral is something that is a powerful resource and uniquely GoDaddy. And while GoCentral is our flagship DIY website building product, we have also made substantial improvements in our WordPress offerings, especially within our Managed WordPress application. WordPress is important to many of our customers who want greater flexibility and customization. A third of the Internet is already built using the WordPress framework and we are continuing to take share of that growing environment making GoDaddy the largest host to paid WordPress instances in the world by the end of 2018. Our Managed WordPress offering automates the entire process of starting and maintaining a secure WordPress website, which saves our customers literally hours of work, frustration and distraction. These two applications live alongside each other in our suite of presence offerings and address complementary need states. Taken together, they are growing subscriptions more than 40% year-over-year, a clear affirmation that what we are doing there is working. GoCentral and Managed WordPress have seen robust growth and have been key to the sustained growth rates you are seeing in our $1 billion hosting and presence segment. We are also doing more for our customers within the broader product suite beyond just websites and marketing. We added a new complementary email platform through our partnership with Open-Xchange to better address the needs of emerging and price-sensitive markets, making it a great complement to Microsoft O365 offerings in mature markets. For example, in Mexico, we are now able to provide an email seat for about a $1.5 a month making it a valuable product at a value price point. Much of our effort outside of launching specific products and features in 2018 was about simplifying our customer experience from how we market to how we welcome and onboard new users to how we wow them with support and care. As a result of a lot of heavy lifting behind the scenes, our net promoter score or NPS, improved dramatically over the past year, which on a business of our scale is meaningful. We will be putting more effort into simplifying and unifying our experiences in 2019. On my second major point about go-to-market, GoDaddy already commands very strong brand awareness. And in 2019, we are building on the brand to more deeply identify with the daily journey of the everyday entrepreneur and to activate the community that already exists within GoDaddy today. You will see this in our imagery, the content that we produce in the market and the way that we reach our audience. Ultimately, where we are headed is a brand promise that can support the expansion of what we do for our customers with the tools and services we offer today and the products we will deliver over the next several years. Tactically, this is starting in the U.S., it is being borne out by six iconic influencers that are emblematic of our customers and who built their online presence with GoDaddy. For example, on February 8, we proudly launched one of those iconic influencers, Ayesha Curry, in our new Homemade brand. Over the life of this campaign, we will generate the same viewership as the Super Bowl ads we have been historically known for, but in a cost-effective and far more targeted manner. Beyond our six cornerstone icons, we are also building out a network of hundreds of vertical specific influencers who are revered in their trade and advocates of our brand. The reality is that GoDaddy's customer base has always been diverse and this strategy is allowing us to reach our target audience with a message that is as relevant to someone in New Jersey as it is in Topeka, Kansas as someone in Manchester, England delivered more nimbly and in a sustained ongoing conversation. In shifting the conversations and conversational marketing, we made a ton of progress this year in how we talk to our existing customers. And we are hitting our objectives in terms of scale and campaigns with returns above our efficiency threshold. We are seeing benefits in our ability to attach new products, drive feature engagement and find instances where there is a shifted underlying need state that we can better serve. Right now, we have an abundance of opportunities in conversational marketing and we hope to put 10% of our 2019 go-to-market budget on the field in this channel. Before I hand it off to Ray, I would like to welcome a new face to our team and to highlight some changes to our organization. First, we welcome Fara Howard as our Chief Marketing Officer. Fara has an ocean of experience from her time at Amazon Fashion, Dell and Vans and she is going to be responsible for stewarding our brand and overseeing day-to-day market activities. We have also continued to evolve our management structure. First Andrew Low Ah Kee added customer care to his broader go-to-market responsibilities under the new title of Chief Operating Officer, which is uniting the end-to-end customer lifecycle from acquisition to support. We are bringing our technology and infrastructure operations under CTO, Charles Beadnall, which is a natural progression of our technology strategy and execution ability. Finally, our products are seeing good success today and as we look to the mid-to long-term, we have begun the process of identifying our next head a product experience who can oversee the transition of our products to an integrated experience for our customers. Stepping back, we have entered 2019 with wind at our back, delivering on our financial objectives and laying the right foundation for multiyear growth. With that, here is Ray to cover our financials.
Ray Winborne: Thanks Scott. I will touch on our fourth quarter financial results and our outlook for 2019. We finished the year on a strong note with fourth quarter revenue and unlevered free cash flow right on plan and with full-year bookings crossing the $3 billion mark. In 2018, we grew revenue roughly 14%, ex-currency and acquisition noise and delivered 25% growth in unlevered free cash flow, even as we made significant investments in customer experience, product and go-to-market. Our investments have positioned us well for 2019 and we are continuing to invest in a number of initiatives to help deliver our multiyear outlook of double-digit topline and high teens unlevered free cash flow growth. Turning to the fourth quarter. Bookings grew to $732 million, rising 12.5% year-over-year on a constant currency basis, a modest reacceleration relative to the third quarter growth rate. Currency created 120 basis points of headwind in Q4 and at today's exchange rates, we expect currency to be a headwind in the first half of 2019 as we comp a period of U.S. dollar weakness in 2018. Revenue came in at $696 million, growing 16% year-over-year, or about 13% excluding the impacts of purchase accounting, Main Street Hub and 0.5 point of currency headwind. We are seeing solid performance across each of the product categories. The key metrics underlying our growth have remained consistently strong. ARPU rose to $148, up 7% year-over-year and customers grew 7%, bringing the total customer base to over 18.5 million. We added over one million net new customers in 2018, reflecting a mix of strength in gross new customer adds and improved customer retention. Underneath the headline stats, the strong customer growth is a result of consistent performance in the U.S. and especially strong growth in international markets as we benefit from share gains across the world and increasing website adoption in emerging markets. Within the U.S., we focused on doing more with our customers through better site and product experiences, interactions with care and conversational marketing driving double-digit U.S. ARPU growth in 2018. Unlevered free cash flow for the year was $620 million, growing 25% year-over-year and yielding overall point of margin expansion as we saw the scale of the business drive margin benefits to the P&L, partially offset by investments we made back into the core business and dilution for Main Street Hub. On the balance sheet, we finished the year with $951 million in cash and short-term investments and net debt landed at $1.5 billion, putting our net leverage near the low end of our targeted range of two to four times on a trailing 12-month basis. With that, I will turn to our outlook for 2019. At a high level, we expect continued mid single digit growth in customers and ARPU to produce full-year revenue of $2.97 billion to $3.0 billion, representing growth of 12% to 13% versus 2018. For the first quarter, we expect revenue of $705 million to $715 million, representing 11% to 13% growth versus the first quarter of 2018, as we began to lap the gains from changes in merchandising of aftermarket domain sales in early 2018. Moving to cash flow. We expect to generate $730 million to $745 million of unlevered free cash flow in 2019 or 18% to 20% growth over 2018, implying margin expansion of about 1.5 point. We will continue to optimize around topline growth and margin accretion with any potential upside being directed back into the business. While the timing of CapEx and certain working capital items created lumpier unlevered free cash flow growth in 2018, for modeling purposes you should plan for a more evenly distributed pattern of cash flow in 2019. And finally, we expect net cash payments for interest in 2019 to be $90 million to $95 million implying slightly faster growth in levered free cash flow from 2019. Stepping back, we delivered a great 2018 and have set a strong foundation for continued growth. Our 2019 outlook reflects the consistency in our business model and growth from areas we are putting our shoulder behind to improve the customer experience, ramp product innovation and optimize the go-to-market engine. Thanks everyone for joining us today. And with that operator, let's open up the call for questions.
Operator: [Operator Instructions]. Your first question comes from Lloyd Walmsley with Deutsche Bank. Your line is open.
Lloyd Walmsley: Thanks for taking the question. Two, if I can. I guess just first, can you give us just a sense of the scale and the potential of the new email business? It sounds like a nice complement to Office 365. And related to that, how we should think about business apps growth in 2019 and over the next few years, as you add more nascent things like the Open-Xchange partnership, things like SmartLine? And then I guess secondly, you talk about moving ad budget, explicitly to conversational marketing and you also mentioned leveraging kind of vertical specific influencers. So it sounds like you are taking the conversational marketing, which has traditionally been on-site to more of an affiliate marketing angle. Can you just help us connect it to and put that in some context, particularly as you bring in a new CMO? Thanks.
Scott Wagner: Lloyd, it's Scott. I am going to take your second question first and then talk about the Open-Xchange and then Ray might add a few things on biz apps trajectory. So from a marketing standpoint, the influencers are the top of a pyramid that we are laddering down to more specific verticals that are representative of our 18.5 million customers. Ayesha Curry is mompreneur and is building out business ideas and we are excited to be working with her to power Homemade. And Ayesha obviously is a well-known icon but the same things that we have enabled Ayesha to do could be if Ayesha was somebody starting in their basement in Topeka, Kansas. And there is five other influencers across different areas like fashion, music, et cetera that we are going to amplify. That's really our brand investment, right. It's a way to communicate our brand for everyday entrepreneurs. Now when you shift to conversational marketing, that's talking to our base with very specific ideas, whether it's adding social and media and reputation management to an existing site and service or wrapping security around their entire site and email environment. It's a very specific thing that we identify, add an individual customer and then we can either reach out via care and/or differ marketing channels to go address that audience. And so those are really, you are covering the full scope of our marketing and media opportunity. And obviously, Fara, who is coming in as our CMO, she is a terrific storyteller from a brand standpoint, but also analytic and purposeful, which is part of how you get to your base in a specific way. So that's the strategy on the marketing front. For OX, think about that as an adjacent complement to an already strong email and productivity business and the fundamental value proposition for many of our customers is having a branded email and productivity suite. And what OX is enabling us to do is to hit much lower price points around the world. And so if you are in Mexico and Brazil, which is where this launched or if you are moving over to the emerging markets in Asia, we are able to get somebody a full-some branded email at what amounts to a little over $1 a month which is complement and value price point. So we think that's a nice addition and is just another way that we can continue to grow our email and productivity franchise. I think Ray is going to talk about just applications in general and how to think about the growth rates going forward.
Ray Winborne: Yes. Lloyd, it's Ray. I think when you think about that biz apps line, that's always our fastest growing product category. That's on trajectory to become $0.5 billion business for us. So we are truly excited to continue to add piece parts into that solution set. We continue to see the line of sight to deliver that biz apps growth within our three to four times customer growth framework that we have been giving you guys for a while.
Lloyd Walmsley: Got it. Thank you.
Operator: Your next question is from Jason Helfstein with Oppenheimer. Your line is open.
Jason Helfstein: Thanks. So first, it seems that there is an overall theme in the industry, where both you and your competitors are all effectively trying to move, I don't want to say up-market, but really focusing on the higher LTV customers at better price points where there is the ability to upsell over time. Maybe talk about kind of how that's been involving because it does seem to be a theme? We heard this morning at another company and it feels like a theme. Secondly, I noticed if I saw correctly, you didn't buyback any stock in the quarter following the buyback authorization. So any update on capital thoughts? We would imagine you are thinking about potential M&A? And any update there? And if we could potentially see a transaction in 2019? Thanks.
Scott Wagner: Hi Jason. First on your first comment. Our strategy has been constant, certainly as a public company and really, if I back it up over the last five to seven years. I mean we are really early in a ideas formation and obviously, we continue to add customers at a fast growth rate and in terms of a quantum of customer adds, we are effectively at an all-time high of being over a million plus net new customers. And so that continues to be the anchor of what we are doing. And then ARPU for us is really about just fulfilling a broader set of a customer's needs, which has always been the great opportunity for us over time. So relative to other people in the industry, I wouldn't even think about it or comment very much. I think this is just us fulfilling our strategy and the fundamentals of our business model. I will hand it off to Ray to talk about your second question.
Ray Winborne: Hi Jason, it's Ray. No change in our capital allocation priority. It's obviously still organic growth, M&A and share repurchases, in that order. There is obviously a variety of reasons we would be in the market or not in the market for our own shares. And we are not going to comment specifically on those reasons.
Operator: Your next question comes from Matt Pfau with William Blair. Your line is open.
Matt Pfau: Hi guys. Thanks for taking my questions. I wanted to touch on the commentary around ARPU growth and specifically how ARPU growth was faster in the U.S. than the rest of the world. So I guess, as you think about the opportunity longer term, is there something that would keep international ARPU from being the same as that of the U.S.? And then related to the growth you are seeing in the quarter or this year, what's driving that? Is it just product set or something else that's driving the difference in ARPU growth between the two different regions?
Scott Wagner: Hi Matt. That's a good question. I think on the U.S., what you are seeing is, the U.S. is obviously our most developed market. And if you think about two things, one of which is the full-some nature of our product portfolio, so when you get into more advanced digital marketing things and solutions, whether it's either GoCentral itself and then things like SEO optimization or social media management, right now we are really focusing on the United States and Canada, to a lesser extent, but North America to bring those to market. And so, those have higher value, therefore higher ARPU. And when I talk about conversational marketing, which is really going into the base, our efforts are also focused on North America there to really get momentum and prove it out. And so what you are seeing on those things is an impact that is showing up in the U.S. that over time we are going to move that into international markets around the world. Now your question around, is there any reason why we can't think about international at that same level. I think there is always going to be a difference between the U.S. ARPU and international specifically because of both product mix and willing to spend around the world. I think the relevant point is, international growth is still solid. We are proving out certain things in the U.S. that will apply to markets around the world and the economics around acquisition and development internationally are still really, really good. And so anyway, the international, we continue to feel good about the growth overall and down the road, there will be learnings from the U.S. that will eventually move into international markets.
Matt Pfau: Great. That's it for me guys. Thanks a lot.
Operator: Your next question is from Mark Mahaney with RBC Capital Markets. Your line is open.
Zachary Schwartzman: Hi. It's Zachary Schwartzman, on for Mark. I had a follow-up to Lloyd's earlier question. For 2019, is there any reason to expect different contribution to revenue between your three segments, domains, hosting and presence and business divisions? Whether that's through new products or continued shift towards conversational marketing? Do you expect the breakdown to shift in 2019? Thanks.
Ray Winborne: Hi Zach, it's Ray. So if you look at the framework that we have put out there, nothing has really changed from that perspective. One times customer growth on domains, we have done a little better than that and we expect that to be a little better in 2019 but over the long-term we are pointing back to customer growth. Hosting and presence, one to two times customer growth. We are landing at the high end of that now and we expect that to be the case in 2019 as well. And as I mentioned earlier with Lloyd's question around biz apps, still see line of sight there to three to four times customer growth.
Zachary Schwartzman: Great. Thanks. And one more quick one. On international, are there any regions that you feel represents a greater opportunity in 2019, that GoDaddy is already in that you could expect could contribute more to international growth? Thanks.
Scott Wagner: Yes. Zach, we are in 50-plus markets today. So it's not the geographic footprint as much as it is going deeper in those. And it is a broad-based opportunity. As you look at the growth that we are seeing in international business, it's widespread. So whether that's Latin America, Asia or even in the Middle East, we are a good shift there.
Operator: Your next question is from Deepak Mathivanan with Barclays. Your line is open.
Deepak Mathivanan: Hi guys. Thanks for taking the question. Two questions for me. So first, last quarter you pursued sort of effort slightly more aggressively, I believe, to reduce multiyear discounts on certain products to help improve engagement with customers. And that kind of weighed on bookings growth slightly. Did that continue into 4Q? And operationally, are you now at a steady state with respect to contract length for various products that you want to offer to customers? And then second question somewhat related to the question before, I know it's a small part of your business, but can you comment on the trends coming out of China? What are you factoring into your 2019 guide? Thank you.
Ray Winborne: Hi Deepak, it's Ray. When we brought up term last quarter, it was for visibility. That is something that's been a factor in our business for a long time. And if look over a multiyear basis, term has continued to shrink and a lot of that's been driven by the product mix. As we move away from domains and the two other product groups are growing faster, those are shorter-term products. So nothing has changed dramatically, third quarter to fourth quarter. We will continue to see that over time. We are seeing good results from some of the tests that we have done there, from an LTV perspective. So we will continue to work that direction with bookings. With respect to China, I mentioned it last quarter, a small piece of our business. It's been really growing well for us. We saw some softness in the back half of 2018 relative to a very strong first half, but the annual growth rate is still very strong.
Operator: Your next question comes from Mike Olson with Piper Jaffray. Your line is open.
Mike Olson: Hi. Good afternoon. I just had a couple. I just wanted to make sure that we go the message right on CapEx. So last quarter you talked about it being a bit light in Q3 and then bouncing back in Q4, which it did. It sounds like you are saying CapEx should be a more regular run rate in 2019. So just confirming, is that what you are pointing to? And then you mentioned FX will be a headwind in Q1 and first half of the year. Just so we have a sense for it, can you share any quantified ballpark impact that you are expecting in Q1? Thanks.
Ray Winborne: Yes. Mike, so as you pointed out the CapEx, you did understand that right. It was just a shift from third quarter to fourth quarter. If you look at this business, it's very capital efficient. We are going to run 3% to 4% of revenue and we continue to see that net over a longer period of time will trend as we move to the cloud. But year-end 2019, 3% to 4% of cap revenue is a good spot. So on currency impact, yes, so you obviously saw the impact in the fourth quarter. If you look back at the rates in the first quarter, our first half of the year last year, the dollar was pretty week and we are looking at a range of a couple hundred basis points of headwind against bookings in the first half.
Mike Olson: Got it. Thanks. Perfect.
Operator: Your next question is from Sterling Auty with JPMorgan. Your line is open.
Sterling Auty: Yes. Thanks. One question for you, Ray and then a follow-up for Scott. So Ray, just philosophically, I want to understand if duration continues to shorten out, that has some pressure on deferred revenue. You are guiding revenue growth 11% to 13%. What's the last part that builds in that allows you to continue to grow unlevered free cash flow 18% to 20%.
Ray Winborne: Hi Sterling, it's Ray. So as I look at the growth rate, that term is not going to go down forever, right. It's a fairly steady reduction that we have seen over a multiyear basis. it can bounce a little bit if we have specific merchandising, but I think you are going to continue to see pretty stable growth rate between revenue and bookings. We have converged now a lot of the acquisition noises coming out of that number. So I think that if you look at the pacing of our bookings on a constant currency basis in the third and fourth quarter of 2018, that's a good barometer as you look into 2019.
Scott Wagner: And Sterling, it's Scott. Maybe just to add on. We do just get some flow-through to margin through the P&L, whether it's the value adds, gross margin accretion or some amount of scale through G&A in our tech and dev lines that over time we have been managing that trade-off of reinvestment into the business and scale and flow-through. So as you look at our guide through the year, that incorporates those actions playing out.
Sterling Auty: Okay. And then a follow-up. You had touched upon it a little bit earlier. I am just going to be a little bit more blunt about it. Wix really announced a very significant change in their strategy and getting rid of Domain Connect, some of the low-end and saying that they are going to come after more of the professional developer, the WordPress and Drupal crowd. Do you think that GoCentral is having a competitive impact? Do you think you are taking share? And when you look at that developer community, both things that you did from Media Temple and all the way through, how do you feel like your retention and growth opportunity in that base is as it looks like the competition between the two companies is going to heat up.
Scott Wagner: Hi Sterling. I think we are just well positioned to serve the need state of getting, activating somebody's presence, whether it's a little basic, right, a basic DIY or more advanced services. And you know, gosh, it's still a really fragmented market. I think we are just happy with the growth rates we are seeing in our business. And I wouldn't necessarily call out one company versus another. We are focused on continuing to fulfill the need state of, boy, activate online presence across customers who either already have or coming to us for an aim and the better and better we do that, the better for us it is and we think it's great for our customers too.
Sterling Auty: Got it. Thank you.
Operator: Your next question is from Ron Josey with JMP Securities. Your line is open.
Ron Josey: Great. Thanks for taking the question. Just two, one on Main Street Hub, one on merchandising. So just on Main Street Hub, you know, post the acquisition being closed, I think, in call it mid, early 3Q, can you talk about the progress you have made over the two million potential customers you have highlighted that you can go after with the upsell? That's the first question. The second question is just on merchandising. I know there has been a lot of investment and talk last year about just making the site a lot more easier to use in terms of highlighting all the different products you sell and offer. GoCentral's capability is a great example of how that's turned into a platform. But just can you talk about where you are maybe on the way to improving the overall merchandising of the platform and maybe how that ties into conversational marketing? Thank you.
Scott Wagner: Thanks Ron. First, on Main Street Hub. We are making progress. Right now, the Main Street Hub social media and reputation management service is integrated into GoDaddy and is being represented as GoDaddy Social and we have teams reaching out into GoDaddy's base. And the thesis of delivering that service as part of GoDaddy versus a standalone third-party is completely proving out. Now in terms of execution and where we are in the journey, it's still early days to making that super-tight. So we are seeing all the proof points of progress around it, but I would still say we are in the very early innings of executing that at scale relative to, let's say, the two million customers that you just described. But the proof points are playing out, which is nice. On front of site, we have been focused quite a bit around basic mechanics in the site to connect both our products together and to make the site more visual. And in 2019, you are just going to start to see more of those changes. Here is a simple example. Today, that you are seeing where if you are going to GoDaddy and you are seeing Ayesha Curry's Homemade site, you are actually seeing templates, Ayesha inspired themes and designs that you can connect into immediately off the site and flow right into those kinds of themes. And it's much more seamless and fluid than what we have been able to do in the past. Boy, 2019 is going to be about doing more of that kind of work.
Ron Josey: Great. Thank you.
Operator: Your next question is from Nick Jones with Citi. Your line is open.
Nick Jones: Hi. Thanks for taking the question. On the top-level domains, are there any trends you can point to far as a domain buyers bundling multiple TLDs? And then my second question is on Managed WordPress. Are you seeing any professionals or experts start to use that in their business?
Scott Wagner: Hi, it's Scott. On the first question, honestly there is no trends that are big enough to mention on this call. To your second point on just pros in managed WordPress, WordPress is the open source CMS platform for the open web. The biggest issues with WordPress, if you are working and using on it, are plug-in maintenance and overall security and just the level of time and attention that it takes to actually run that. Look, our managed platform, managed WordPress platform, totally automates and simplifies that process and we are making it easier and easier and easier. And so the feature improvement is both security layer, but more importantly, on app plug-in and theme updates to just make it super easy for performance and reliability. So I think you are seeing it not just for pros, but also for pros handing sites like that off to individuals or small businesses that are managing it for themselves.
Nick Jones: Got it. Thank you.
Operator: Your next question is from Naved Khan with SunTrust. Your line is open.
Naved Khan: Thanks a lot. Just a follow-up question on Main Street Hub. So I guess, the plan was to introduce lower priced packages as well sometime in 2019. Can you give us a sense of timing in terms of where you are with respect to the relaunch?
Scott Wagner: Hi Naved. You are going to see really the services rolling out across GoDaddy, which is what we are focused on now. In terms of the specifics of lower price points delivered through there, we are going to keep working on it and experimenting about delivery on it. So I am going to give you a specific timeframe, but that's the kind of stuff that the teams are working on. Priority number one is great value proposition for what exists represented under GoDaddy.
Naved Khan: Got it. And then maybe as a quick follow-up, can you just comment on the broader macro picture? Are you seeing any changes in terms of either maybe customer retention or just gross adds?
Scott Wagner: Not particularly at a macro level. I will say retention, remember, operates at two levels for us. The first is customers and then the second our individual products. And for us the continued theme of retention at both levels are slightly improving. And by slightly, I mean individual products and overall customers both on a mix adjusted basis are just continuing to improve on really tens of basis points, which has been over the last several years. But that's all goodness because those are the kind of things that happen when you have products, deliver them in a great way, with great support and service, you just get those kinds of things as an outcome. So to be very clear, no big change in the trajectory that we are on. But there is goodness happening there. And then second on adds, again, we do not manage to the add number, but it's nice that our net add number is up and again we are focused on good customers that we think are to build things up over time. And what you are seeing in that number is continued opportunity and fulfillment for us around the world. So no big change, I think, on the acquisition front and the trajectory we have been on for the last several years.
Ray Winborne: That's right. The only thing I would add to that from an international basis at a macro, we are just obviously seeing currency pressures. But the customer growth and market share increases are still occurring.
Naved Khan: Got it. Thank you Scott. Thank you Ray.
Operator: Your next question is from Brent Thill with Jefferies. Your line is open.
Brent Thill: Hi Scott. If you could maybe just walk through how you prioritize the international playbook for 2019? Where you seeing the biggest opportunities? Where are you putting most energy in? And then I had a quick follow-up for Ray. Just as it relates to deferred revenue, it was down, I think, sequentially. First time we have seen in the model. It would seem that's due to the shorter contract duration. Is there anything else that's accounting for that change in DR? Thank you.
Scott Wagner: Thanks Brent. In terms of prioritization, there is no one geo that we are saying, boy, we are leaning into it at a different level or rate. In EMEA, that's obviously our biggest market and so the focus in EMEA is taking some of the capabilities and product portfolio of the U.S. whether it be conversational marketing or features like security, backup malware scans, plug-ins and actually moving it over to Europe. So I think priority in Europe is take what we see as working in the U.S. and moving it there. Mexico and Brazil continue to have great growth potential. So that's the focus in Latin America. And then in Asia, it continues to be about customer adds.
Ray Winborne: Hi Brent, it's Ray. To answer your second question, we have been pretty pleased. We saw bookings reaccelerate in the fourth quarter relative to third. But the same factors are affecting your deferred revenue. It's term year-over-year and that's being driven by the product mix for the most part and currency is the other impact over there.
Brent Thill: Thank you.
Operator: Your next question is from Mark Grant with Goldman Sachs. Your line is open.
Mark Grant: Great. Thanks for taking the question. I just wanted to follow-up quickly on Lloyd's question earlier on the conversational marketing initiatives. You have been working on these now for about a year. You have been talking about them publicly. And with Fara coming in and Andrew taking on incremental responsibility for customer care broadly, can you talk a little bit about what you have learned over the last year that informs your decision to allocate kind of 10% of the budget to those initiatives? What you are seeing from the customer care reps in their outreach? And any change to your view on how effective those initiatives could be around driving or potentially even accelerating ARPU growth in 2019 would be helpful?
Scott Wagner: Thanks Mark. So the purpose again behind this is, boy, if we identify and we can with i.e., specific need or opportunity for our customers and to reach out with that purpose, whether it be security, whether it could be an SEO optimization, but just one thing to reach out and say, hey, check this out or have you thought about this. And from a metric standpoint, we are targeting a three times lifetime value to cost of acquisition, which incorporates not only spend, but the cost of a rep before reaching out through their care center, which is all incremental. Some of the returns that we are seeing are multiples beyond that. I mean you are seeing double digit returns on specific ideas. So we are seeing, again I mentioned 3X is the absolute minimum and floor for us to continue, but we are seeing things that are modestly even better than our average acquisition metric. So we are seeing enough proof points to say, this should take some amount of dollars for us as a system to continue to scale it out. I think what you are seeing on care connected to marketing, Fara, Andrew, is just our evolution to try to execute that at scale, not only in the U.S. but around the world. I mean, I really wish our biggest gate here is just our ability to execute with a great integrated design flow for every single conversation. We have hundreds of, frankly, ideas or things that we absolutely know that we can, should and want to reach out to individual components of our customers. It's about getting scale through our platforms and connecting our website to e-mail to care in an integrated way with great design and great messaging. So what you are seeing organizationally is just our desire to go execute that.
Mark Grant: Great. Thank you. That's helpful.
Operator: [Operator Instructions]. Your next question is from Brian Essex with Morgan Stanley. Your line is open.
Brian Essex: Hi. Good afternoon and thank you for taking the question. Scott, I just wanted to touch on your international expansion, particularly as it relates to potential pricing power. Is it different in different geographies? Are there other kind of parts of your suite that are more robust in certain areas? And then might you be able to leverage any pricing power in geos to offset any either development costs for penetration of those deals or associated FX headwind that you might have there?
Scott Wagner: Hi Brian. Certainly different geos have different both willingness to pay in absolute and applicability within our product markets. I mean I think the North American and European markets' customers' need states are effectively the same. And so you see the same application of product suite plus relative price points in those geographies. Modestly, Latin America kind of looks like that too. When you move over to the Asia markets, as we have said for a long time, whether you are in India or Asia, the applicability and willingness to pay is different. And so when you see something like OX, for example, that delivered just low cost e-mail, we are using that as a way to make a branded e-mail and communication for those markets more accessible. So starting that in Latin America and we are going to roll that into the Asian markets as well. And overtime, I do think the Asia markets today they have a different spend profile than the U.S. But again, when we think about marketing dollars and how we spend against those markets, it's reflective of sort of a lower spend right now.
Ray Winborne: Hi Brian, it's Ray. And to follow-up on your other question, as far as current pricing for currency, absolutely. We adjust prices based off of currency movements to the extent the market will bear it.
Brian Essex: Got it. That's helpful. And maybe if I can follow up on your partnership with Amazon. Any current update there? And how is that impacting as you migrate to more of a cloud-based infrastructure the margins? And is there any kind of incremental, I guess, momentum with the partnership in terms of ability to develop on that platform or ability to sell through that partner?
Ray Winborne: Yes. Brian, let me start with the infrastructure piece and I will let Scott follow-up on the product side. From an infrastructure perspective, things are going very well. We have already started to move some of our workloads over, particularly on the product development side. And as I have mentioned in prior calls, that's a smaller piece of the overall workload. So this is a multiyear effort. You are not going to see any dramatic impacts from a P&L or capital perspective in 2019. It's all reflected in the guide that we provided earlier.
Scott Wagner: From a product front, we are working across a couple of different areas of applications and capabilities that we have to roll in to Amazon. That's going to work throughout 2019. There's nothing that I would call out specifically on this call that would be a big mover for the business. But again, we are developing. We have five to six different things on the roadmap that we are working through throughout 2019.
Brian Essex: Very helpful. Thank you.
Operator: [Operator Instructions]. This does conclude the Q&A portion of today's call. I will now turn it back over to the presenters for any closing remarks.
Scott Wagner: Thanks everybody. I really appreciate the questions. Thanks for listening in and we will talk to everybody next quarter. Thank you.
Operator: This concludes today's conference call. You may now disconnect.